Operator: Good day, welcome to the fourth quarter 2014 earnings release conference call for Jones Lang LaSalle Incorporated. Today's call is being recorded. Any statements made about future results and performance, or about plans, expectations, and objectives are forward-looking statements. Actual results and performance may differ from those included in the forward-looking statements, as a result of factors discussed in the Company's Annual Reports on Form 10-K for the fiscal year ended December 31st, 2013, and in our other reports filed with the SEC. The Company disclaims any undertakings to publicly update or revise any forward-looking statements. A transcript of this call will be posted and available on the Company's website. A web audio replay will also be available for download. Information and the link can be found on the Company's website. At this time, I would like to turn the call over to Mr. Colin Dyer, Chief Executive Officer for opening remarks. Please go ahead sir.
Colin Dyer: Thank you. Hello everybody, and welcome to this review of our results for the 2014 fourth quarter and the full year. With me on today's call is Christie Kelly, our Chief Financial Officer, and Christie will review our financial performance in detail in a few moments. Summarizing our results, thanks to an excellent fourth quarter we completed another record year. We produced record fee revenue and adjusted earnings per share, and we continue to expand margins, build market share and increase productivity across our business. We also continued our 10-year path of over 15% compound annual growth rate in EBITDA. These record results came in an environment of steadily improving conditions in most of the world's real estate markets. Global GDP growth stood at 3.2% at the end of the year, and we project slow but steady economic upturn continuing into 2015, with GDP increasing by 3.4% this year. To see how this is translated into real estate markets, please see the slides which we posted in the Investor Relations section of JLL.com. Slide 3 shows global capital markets recording their fifth consecutive year of growth. Transactions totaled $230 million in the fourth quarter, which was a 9% increase over the same quarter a year ago, and the largest single quarter on record. Full year volumes reached $710 billion, which was a 20% increase on 2013, and comparable to levels last seen in 2006. Investment volumes in the Americas reached a record $94 billion in the quarter, which was up 7% from the fourth quarter of 2013, while full year volumes reached $302 billion, which is 25% higher than the prior year. Investment levels in Europe, Middle East and Africa, EMEA were $93 billion for the quarter, an 8% increase on the fourth quarter of 2013. This pushed full year volumes to $277 billion, which was a 25% increase on 2013. Asia-Pacific investment volumes set a new quarterly record of $43 billion for the fourth quarter, up 17% on the final quarter of 2013, while full year activity totaled $131 billion, a 3% increase on the prior year. The pace of transaction activity globally has essentially returned to the peak levels of the last cycle, although the current cycle may still be closer to its mid-point. Yields for prime office assets continue to compress in the fourth quarter, with the largest declines in US gateway cities, Paris, Tokyo, Sydney, and Seoul, while annual capital values grew 8% across 25 major world markets, driven by that yield compression but also rental increases. Global leasing markets showed corporate occupy activity strengthening around the world at the end of 2014, which closed with surprising strength. In the US, gross absorption totaled 236 million square feet in the year, 5% below 2013 levels when we saw tenants renew space, rather than wait for what 2014 might bring in the way of less favorable lease terms. In EMEA, 2014 gross absorption improved by 17% year-on-year, with the fourth quarter representing the strongest quarter in European occupied markets in 7 years. In Asia-Pacific, fourth quarter gross take-up was 14% above the same quarter a year ago, and up 16% for the full year. As a further indicator of market health, the global office vacancy rate across 98 markets edged down to 12.7% at year-end, while US vacancies closed the quarter at 15.6%, which was down 290 basis points from the recessionary peak in 2010. European vacancy rate fell marginally to 9.6%, Asia-Pacific to 11%, which was its lowest level since the fourth quarter of 2012. Finally, in this market overview, rental rent rates continue to grow at a steady pace, with the annual growth on prime office assets across 25 markets standing at 3.1% in the year, compared to 1.7% in 2013. So against this positive market picture, let's now see how JLL performed, and I'll turn the call over to Christie.
Christie Kelly: Thank you, Colin. And welcome to everyone on our call. I'm pleased to report JLL's record top line and bottom line financial performance for 2014. We delivered double-digit fee revenue growth for the fourth quarter and the full year across our business segments, with contributions coming from all service lines in each geographic region. We delivered record earnings per share for 2014 fourth quarter and full year. We drove margin expansion in all segments of the business while continuing to invest for long-term profitable growth. We see reflected in our results the benefits of investments we have made in our platform, to continuously improve the quality and scope of our services for our clients while building the long-term value of our Company. These excellent results, coupled with our long-term perspective, translated into further strengthening of our investment grade balance sheet, and an upgrade by S&P to BBB in December 2014. We finished our year with consolidated fee revenue of $4.7 billion, up 18% over last year, and adjusted earnings per share of $8.69, up 38% over last year. For the fourth quarter, we delivered consolidated fee revenue of $1.6 billion, up 19% over last year, and adjusted earnings per share of $4.30, up 29% over last year. Adjusted operating income margin calculated on a fee revenue basis increased 120 basis points to 10.9% for the year. Adjusted EBITDA margin on a fee revenue basis increased 140 basis points, to 13.8% for the year. Our consolidated results reflect 18% incremental operating income margin to fee revenue for the year, and 30% incremental margin to fee revenue for the fourth quarter. The significant increases in margin reflect many factors, including the strength of our diverse global platform with high recurring profitable revenue, and the productivity focus of our people. These results also reflect our investment discipline, including the contributions of our transaction professionals in whom we have invested through M&A activity and strategic hiring over the last several years. Additionally, our investment management business consistently delivers above benchmark performance for clients, and in turn generates incentive fees and equity earnings from transaction activities within fund life cycles. We remain focused on balancing top line growth, platform investments, and productivity to achieve incremental margin and earnings per share growth. Our 18% consolidated fee revenue growth on a local currency basis was broad-based across geographic and services segments. Our revenue increases of 15% in capital markets and hotels and 17% in leasing, demonstrate our ability to serve both investors and occupiers in mixed but broadly improving markets, with continued transaction momentum now supported by improving corporate occupier demand. We also continue to grow our annuity real estate services businesses, such as property and facility management, where fee revenue was up 15% compared to last year, as a result of transitioning large global clients that were won in 2013, and securing new mandates and expansions in 2014. LaSalle continued to strengthen its base of incentive fees, as certain of its funds approached the end of their life cycles, achieving a total of $8.9 billion in capital raised for 2014, and ending the year with $53.6 billion in assets under management. Over the last 12 months we selectively expanded revenue generating hires by more than 12% in the case of capital markets, and 8% for leasing, executed through both hiring and acquisition, while also increasing revenue per producer. In alignment with our strategic plan and our investment discipline, we also completed 10 acquisitions of transaction and annuity businesses in the US, UK, Sweden, France, Spain, Portugal, and Malaysia during the year. Transaction pipelines across our business remain strong headed into 2015. We will begin our look at the segment-specific results with the Americas, where fee revenue across the region was up 18% in local currency over 2013, and up 15% for the fourth quarter. Leasing was up 19% for the year, 18% for the quarter, which were particularly strong results given that both were achieved despite declining gross absorption conditions in the overall market for both these periods. The rest of the Americas platform also made meaningful contributions to growth in 2014, with capital markets and hotels up 22% for the year, led by real estate investment banking, and multi-family investment sales, together with a record year in hotels. Property and facility management was up 13%, primarily from new client contract wins, and project and development services was up 20%, both from new client wins and expanded projects with long time clients. Geographically operations in each of Canada and Latin America made significant contributions to both transaction and annuity revenue growth. Operating income in the Americas grew 19% to $219 million for the year, up from $184 million a year ago, and operating income margin improved by 20 basis points to 10.4% on a fee revenue basis. In EMEA, fee revenue across the region was up 17% in local currency over 2013, and up 24% for the quarter, capital markets and hotels revenue was up 23% for the year, 42% for the quarter, reinforcing our leading market share, and our reputation in EMEA real estate capital market space, with strong growth demonstrated in the UK, Germany, France and Sweden. Our rest of capital markets business experienced predictable weakness, given the serious and worsening geopolitical situation, but we are pleased that our Russia team nevertheless delivered the year without losses. Property and facility management fee revenue was up 21% for the year, and project and development services fee revenue was up 18%, as we continue to win international mandates from European multi-nationals, and expand our Tetris fit-out business. Overall, performance was strong throughout the region, both in larger markets like the UK, Germany, and France, but also in Ireland, and across the continent, from Spain, Portugal, and Italy, to Belgium and the Netherlands, up to Sweden, and over to central and Eastern Europe and MINA. Adjusted operating income in the region increased 34% year-over-year 2014 to $123 million, up from $92 million a year ago. Adjusted operating income margin improved by 110 basis points to 9.3% on a fee revenue basis, reflective primarily of capital market performance and our focus on productivity. Specifically, our Warsaw Shared Services Operation is a Best Practices leader, and example of our focus on productivity and talent investment. Our Warsaw SSO was established a number of years ago and now continues to expand. As a result of which our EMEA CFO and her team are now located in Warsaw, instead of their historical base in London. In Asia-Pacific, fee revenue across the region was up 11% in local currency over 2013, and up 16% for the quarter. Asia-Pacific leasing revenue was up 23% for the year, 34% for the quarter, outperforming market volumes for both periods in the midst of a recovery that has been patchy, but is beginning to accelerate. Capital markets and hotel revenues for the year was down 10%, but up 5% in the quarter against a backdrop of significant year-over-year comparables. Property and facility management revenue was up 14% for the year and 10% for the quarter, with demand for these services growing steadily, as we see increases in both the quality of property inventory and the propensity of Asian companies to outsource. Geographically, greater China performed well despite a slowing economic environment, while India took advantage of an improved business environment, particularly in the second half of the year. Operating income grew 9% to $84 million for the year, up from $77 million a year ago, and operating income margin improved by 20 basis points to 9.3% on a fee revenue basis. Our Asia-Pacific business delivered very strong 2014 performance in a mixed economic environment, while continuing to profitably invest for the long-term. LaSalle had a tremendous year, delivering operating revenue increases of 45% for the year and 44% for the fourth quarter, driven by incentive fee performance in the second half of the year, but also including increases in advisory fees up 5% for the year and 9% for the quarter. LaSalle continued to focus on productivity as it generated a year-over-year increase of 11% in assets under management per employee. Further, LaSalle raised $1.5 billion of new capital in the fourth quarter, bringing total capital raised for the year to $8.9 billion, a new record for the business. Assets under management grew by $6 billion during the year to $53.6 billion. LaSalle's incentive fees of $26 million in the fourth quarter brought the full year total to $105 million, the second highest annual total in LaSalle's history. As the mature funds generating these strong incentive fees near the end of their fund lives, we expect equity earnings and incentive fees to be healthy but taper in 2015. With respect to our balance sheet and the strength of our financial position, total net debt was $163 million at the end of the year, a reduction of $274 million, or 63% from last year, while we continue to invest in the business. We benefited from the lower pricing on our credit facility, with $28.3 million in interest expense for the full year, constituting an 18% reduction for the year. We are pleased that we achieved an upgrade by Standard & Poors, which raised our credit rating to BBB, in alignment with Moody's investment rating of BBA2, reflecting the increasing strength of our annuity businesses and our overall global platform. To sum up, we had an excellent quarter and year. We remain well-positioned for future growth in 2015, and will continue our consistent discipline of investing in our platform for the long-term benefit of our clients and investors. Our pipelines remain strong as we look to build on a successful 2014. Before turning over to Colin, I would like to express my sincere appreciation to our people around the world for their values, collaboration, and focus on delivering performance today and for the long-term on behalf of our clients and investors. A big thank you for all my JLL colleagues. I will now turn the call back over to Colin.
Colin Dyer: Thank you Christie. So turning to recent business wins, slide 4shows a cross-sample from different service lines and geographies. In our corporate outsourcing business we won 58 new assignments in 2014, expanded existing relationships with another 53 clients, and renewed 22 contracts. In the fourth quarter, new corporate business included delivering a range of service across 30 countries for the global portfolio of agrico, corporate and investment banking. It included providing facilities management and other services for Capital One's 14 million square foot portfolio in the US and Europe. And for 10 Cent, China's largest internet service portal, a contract to provide property and facility management for a new 2.3 million square foot R&D center in Chengdu. One comment about our ability to create strong long term client relationships, and provide superior service globally to top companies. In our first quarter earnings remarks, we talked about winning the facility management assignment for nearly 5 million square feet of Volkswagen's property in the US. In the second quarter, we reported that a multi-national multi-discipline JLL team helped VW identify and secure new billion dollar manufacturing facilities in Poland, and in the fourth quarter we were awarded facilities management services for VW's Porsche business in the US, and additionally relocated the Volkswagen office in Beijing. Our global service capability gives us a distinct advantage over most competitors with this sort of a multi-national client. Our local market corporate solutions business, which serves corporate occupiers who purchase real estate services locally also continued to expand in 2014. We won 61 assignments totaling 94 million square feet in this growth segment last year. Turning to our important investment sales transactions which were completed in the fourth quarter, a highlight has to be representing the JPMorgan and NPS of Korea in the $1.8 billion sale of the HSBC Tower in London's Canary Wharf. This is reported to have been the year's biggest single asset deal in Europe, and possibly the world. The 800 million Euro sale of Palais Quarter in Frankfurt was Germany's largest property deal of 2014, while in the Americas we advised on the $300 million sale of an industrial portfolio in Mexico, and at Sundown Plaza Shanghai we completed the largest grade A office on block transaction in the city last year. In Other Services, fourth quarter highlights included winning the leasing assignment for Duke Reality's 2.2 million square foot office portfolio in Cincinnati, providing property and asset management services for The Park, a 500,000 square foot retail office park, retail and office park in Ireland, and in India's largest ever office transaction we secured the lease for a 3 million square foot office space in Bangalore for the eCommerce company Flipkart. As I mentioned in my opening remarks and as Christie discussed in her comments, LaSalle Investment Management also had an excellent quarter and year. Christie gave you the numbers. Increases in assets under management, operating revenue, incentive fees and advisory fees, plus a record capital raise for the year. I would add the perspective that LaSalle's success has not been the product of one quarter or a single year's efforts, but rather the result of many years of consistently executing a long-term strategy, and delivering superior investment performance consistently to our clients. Throughout the year we continued to invest in the firm's profitable future growth by attracting diverse and talented individuals and teams to JLL. As Christie mentioned, we completed ten acquisitions in 2014, closing 5 transactions in the fourth quarter alone. Those were the Cover Point food service consulting company, which further expanded our retail and leisure consulting capabilities in the UK, Novo Interior in Portugal, adding this Lisbon-based project management firm to our European Tetris business, WA Ellis, a specialist firm, a prime west London residential agency in valuation. The Henry Butcher company, a leading real estate advisory firm based in Malaysia. And in the US, Presser Portland, a specialist in tenant representation and corporate services, based of course in Oregon. We also continued the targeted and strategic expansion of our global platform in 2014, focusing on opening new offices in Lagos, Nigeria, Nanjing, China, and Kuala Lumpur in Malaysia. Looking to the future, slide 3 shows our research team's projection for investment sales and leasing activity for 2015. High demand for direct investment in real estate is continuing into the year, with growth moderating to 5% to 10%, at $750 million projected volume should match the record levels of 2007. Corporate occupier activity is also continuing to strengthen this year, driven by healthy global economic growth, portfolio restructuring and a preference for modern and accessible space. We project the gross absorption will increase about 5% over 2014, with the greatest increases in Asia-Pacific at 15%, while the US and Europe are both forecast to grow at 5%, with leasing in some markets even constrained by low levels of high-quality space. In fund managements, we expect the prime trends will continue with capital flows increasing to drive those record transaction levels. Strong performers like LaSalle will continue to attract significant investment capital, while investors are also increasing their appetite for risk, embracing value-added and opportunistic investment strategies in a search for higher returns. The main challenge is going to be deploying capital. Our own outlook remains upbeat for the year. We start 2015 in an enviable competitive position with strong pipelines and good momentum. Our financial strength has been confirmed by Standard & Poors further upgrade to our investment grade credit rating, as Christie mentioned. And this enables us to continue our long-term policy of consistent investment to strengthen our operating platform, grow our revenue, and continuously improve the range and quality of services which we provide to our clients. So before opening the call for your questions, I would like to cover, as I customarily do, just a few of the major awards we earned in 2014 from industry groups and independent third parties. These honors demonstrating our position as industry leader in real estate services and investment management. So we were named one of the world's Most Ethical Company's for the 7th consecutive year. The US EPA awarded us 2014 Energy Star Partner of the Year and Sustained Excellence awards. We were voted Best Real Estate employer in Germany for the third consecutive year by Immobilien Zeitung, the Asian Pacific Property Awards named us Best Property Consultancy across 7 markets in the region. In the 2014 Euro Money real estate poll, LaSalle was named number 1 in global investment manager. The Sovereign Wealth Fund Institute placed JLL at number 1 in their Financial Adviser League table. And in the US, JLL was awarded a perfect score of 100 on the Human Rights Campaign Corporate Quality Index. This award shows our commitment to being a diverse and inclusive organization, that reflects the world in which we work and live. So with that, we'll now take your questions. And Operator, perhaps you could explain the process.
Operator: [Operator Instructions]. Your first question comes from David Gold at Sidoti. Your line is open.
David Gold: Hi there. Good morning.
Colin Dyer: Good morning.
Christie Kelly: Good morning, David.
David Gold: Seems like a nice finish to the year. Couple of questions for you. First, as we think about 2015, one of the big factors in the last few months have been the changes in currency values. I'm just curious on a couple of things. One, how if any that affects your investment dynamics in the business? And two, what you are hearing and seeing from clients, as far as if it pushes them or makes them more inclined to put money to work in certain markets, or less inclined?
Colin Dyer: Well, I was in Switzerland last week, and they were pretty shocked by what happened to their currency. In general, our clients are fairly neutral on the currency swings. I mean, I think the slide in the Euro is probably the biggest single factor, contrary to the rise of the dollar, of course. But our clients are not talking about it a huge amount. It's not seemingly impacting their appetite for investment in any particular region, or favoring any region above another, beyond the fact that the main gateway cities globally still seem to be attracting the most capital in the investment, in the real estate investment sphere. For our own purposes, we won't change our policy. Christie outlined it. I repeated it. We're going to continue to invest in the platform globally. And again, we're pretty agnostic as to the currencies in which we invest. We think we've got growth opportunities as we, I think, amply demonstrated on the call across all service lines and all geographies.
Q - David Gold: Perfect. Thank you. And then, Colin, you spoke when you opened the call, you mentioned surpassing peak levels with the site goals, I think the word you used maybe closer to a mid-point. And internally, the number 1 question that we hear from investors and clients, so you obviously have our thesis, but I was curious if you can add some data points, or share some factors that would maybe boost your confidence that were maybe closer to the middle?
Colin Dyer: I should go back, I mean you're asking me a question really around sentiment plus numbers. If you go back to the last cycle, we're still in that phase when, as we mentioned money is flowing into the investment management business strongly. Money is still coming in both equity and debt, into the investment sales markets globally. It's moving, as I mentioned, out along the risk curve. It's not yet taking excessive risks. So it feels more like 2005 than later in that prior cycle. If you count from the start of the cycle, we're 5 years in, into what might be an 8, perhaps a bit longer cycle this time, given how hesitant the recovery was. If you look at pricing in the markets, we sense that there is no form of excessive pricing at this point. Yes, pricing is full, particularly for high quality assets in Malaysian markets, and I mentioned a few gateway cities in my prepared remarks. But when you compare the level of cap rate or yields, which are again in the 4's and 5's in those best markets, and you compare that with the bond rates and the sorts of returns that people, institutional investors are seeing from fixed income, or you compare it with negative deposit rates in Switzerland and zero in Germany, the returns on real estate still seem to be rational and not excessive. So put it all together, add the money we've mentioned is still flowing into the markets, and it feels like this cycle still has some way to run yet.
David Gold: Perfect. Sorry, Christie?
Christie Kelly: Yes, the only thing that I would add to that, David, and what Colin said too, is that, for the first time since the great financial crisis, we're seeing momentum in both the capital markets, as well as improving corporate occupier demand. So we're seeing some nice, nice movement in the leasing markets, which at this time also include some very positive momentum in APAC, which we haven't seen for many, many, many years. So this together with prospects on global growth, population growth, together with capital flows that are projected to still move into real estate, we think this bodes well for the major real estate markets around the world.
David Gold: Perfect. Perfect. Very helpful. And just one last, if I can sneak it in, Christie, you mentioned on the incentive fees and equity earnings, looking for a healthy year with some tapering versus presumably 2014. Can you give a little bit more color along the guide posts, the historic guide posts that you have given?
Christie Kelly: Sure, David. I think that tapering will see, instead of fees and equity earnings moderate as I mentioned to, from an incentive fee perspective, more around that $40 million to $50 million range as we had spoken in the third quarter.
David Gold: Perfect. Perfect. Thank you both.
Christie Kelly: Thanks, David.
Operator: Your next question comes from Mitch Germain from JMP Securities. Your line is now open.
Mitch Germain: Congratulations on the quarter, guys.
Christie Kelly: Thanks, Mitch.
Mitch Germain: Just curious, obviously your JLL research team is incorporating a bit of a slowdown in Europe. Maybe Colin, your conversations with your team in those markets, and maybe, are you seeing anything on the ground that concerns you at all?
Colin Dyer: No, I mean these are high levels of activity. And you saw the results that they drove for our business last year. I think it was a sense of just Europe is there are selective markets which are strong in terms of growth. So the UK and Germany obviously are fairly healthy, in terms of overall economic growth. But their caution is just reflecting the sort of overall European growth rates, which are very weak still, taken across the continent as a whole. Nothing more than that. What we're seeing is just corporations in Europe as well as in the US and around the world, just actually getting on with business, recognizing that growth is low, but they can actually move forward and build their organizations and operations in these environments. So we're seeing them take space. We're seeing the trend away from just reorganizing to optimize space and cut costs. That is still there, but it's evolving into space being taken for expansion with an eye on the future growth of their businesses over the coming 3 or 4years. And as I mentioned too, there are some markets, notably London where space, big floor plate space is beginning to be at a premium. So despite some fair activity in the development cycle this time, we're coming into some markets, into a phase where space is at a premium. Good space, new space is at a premium.
Mitch Germain: Great, appreciate that.
Christie Kelly: Yes, the only thing that I would add to what Colin is saying is that, the slow recovery, economic growth, pretty flat. From an investment perspective, when we look at 2015 investment volumes, that's off of a base where this year volumes were up 22%, and investment activity remains robust. So when we look at next year, and the research team is calling for essentially the markets to be flat in Euro terms, at around 200 billion euros, that's off of some pretty strong momentum in the market. And further to that, we've got some positive leasing volumes projected, and that's off of highest quarterly volumes in the past 7 years.
Mitch Germain: Great. While I have you, Christie, obviously you guys have done a great job improving leveraged liquidity. I'm just curious maybe if you can just share what your longer term goals for the balance sheet are?
Christie Kelly: Sure, Mitch. From the perspective of our balance sheet, we remain very focused on maintaining our investment grade rating. When we take a look at the future, and how we plan for our strategic plan, we're consistently managing even through stress testing the balance sheet for the long-term, to ensure that we are leveraged at less than 2, in accordance with our BBB rating and BAA2 rating. So with that, maintaining that discipline so that we keep our powder dry for any downturn, and ensure that we're very well-positioned to take advantage of that, as you would expect. And then as it relates to allocation, we are focused on maintaining our investment allocation, $0.55 on the dollar towards M&A, $0.30 on the dollar towards IT and investments in our platform, $0.10 on the dollar towards co-investment, and the remainder associated with dividends.
Mitch Germain: Great. Last question. I know that a couple of quarters ago you shared a number of strategic initiatives. Pricing, productivity, cost containment. I know it was a host of items. Maybe, without getting into specific detail, if you can just provide an update where that progress stands, please?
Christie Kelly: Sure. Where we are right now, Mitch, as it relates to strategic initiatives, we are very focused on driving some key levers across our business around price, process, and people. And from a pricing perspective, we have a number of productivity initiatives focused on driving improvements in pricing. From a process perspective, driving Best Practices, and ensuring that we're working smartest, and building the best technologies to bring to our clients. Then from a people perspective, making sure that we've got the set-up for the most productive place to work, and enable our revenue generators to really drive revenue per head. So all going very well. We've got well over 100 initiatives going around the globe.
Mitch Germain: Great. Thanks.
Operator: Your next question comes from David Ridley-Lane from Bank of America Merrill Lynch. Your line is now open.
David Ridley-Lane: Sure. I'm just wondering, could you give the full year FX impact given the current rates? We're estimating something close to a 500 or 600 basis points drag on revenue?
Christie Kelly: Sure, David. The full year impact on FX has been about 5%. And that was significantly felt in the fourth quarter. From an EPS perspective, it's about $0.22 in the fourth quarter. And because of the level loading of our business, we felt most of that again in the fourth quarter of this year, given primarily the decline in the Euro versus the dollar. As we look forward to 2015, we're expecting that to be on par, given the loading of our business by quarter. But to the extent that we look at the quarterly performance, we'll probably feel a bit more of that, as you can imagine, during the first 3 quarters of the year, if rates stay where they are versus in the fourth quarter.
David Ridley-Lane: Got it. And do you feel that some capital markets volume slipped out of the fourth quarter in the Americas, or maybe have you seen any slowdown in the number of assignments?
Colin Dyer: No, the pipelines are full. You can never quite judge what's going on in the fourth quarter. You see the way our numbers spiked. But the fourth quarter, we felt was solid everywhere. But we certainly have some stories, we have stories from around the globe of ample pipeline activity going into Q1 of this year.
Christie Kelly: Yes, David, and the only thing I would add to that too is we had very strong performance in multi-family, industrial, together with our creme de la creme office business. So we're very pleased with the results, and the team has solid pipelines going into 2015.
David Ridley-Lane: Okay. And then Asia PAC wants to be the strongest region next year, both for leasing and capital markets. Just wondering what's driving this, and do you see any downside risk from slowing economic growth in China and Australia, your largest markets in the region?
Colin Dyer: Hard to call. China is still growing, and it's growing in a sort of 6% to 7% range. It has slowed, for sure. But nevertheless we last year drove very healthy revenue and profit increases across our Chinese businesses, as you have heard from the comments. I don't know, it's a region with a lot of different dynamics going on. China. India seems to be picking up momentum, and last year was a tale of 2 halves with the first half slow, and then following the election, we saw a tremendous uplift in activity and confidence. So India is likely to pick up momentum. China carrying on, we think at more or less the same activity levels. Japan, the investment sales markets are strong. There is a lot of interest in offices in Tokyo, for example. I guess Australia has been slowing, and we saw some of the weakest leasing activity and rental rate activity in Perth, Adelaide and Melbourne last year, so that's undoubtedly still suffering from the comparatively, comparative reduction in China's growth activity. Southeast Asia still seems to be solid and growing well. So it's a very mixed bag. But overall, put the picture together, and we would expect to see continued progression in our results in Asia-Pacific for the coming year.
Christie Kelly: Just as a backdrop to add to what Colin said, overall our research team is calling for regional economic growth to really stabilize at 5%, with most Asia-Pacific economies expanding in 2015, albeit China is slowing. And together with that point, we're looking at strong activity in Australia, Japan, and a bit of a rebound in China from an investment sales perspective. So we also can't forget about leasing, and that leasing activity bodes well for the real estate space.
David Ridley-Lane: And last one from me, thanks for sharing the head count growth numbers in both capital markets in leasing. As you look at your plans for 2015, is that kind of new double-digit growth and head count seem reasonable for what you're expecting in 2015?
Christie Kelly: So from the perspective of head count growth, we are continuing to invest in our platform, and we do view that we will continue on that pace for 2015. The team has done an exceptional job of driving revenue performance while adding, and together with that, capturing transactions profitably. So it's a great investment for our team, our firm, and investors.
David Ridley-Lane: Thanks very much, and congratulations on the quarter.
Christie Kelly: Thank you.
Operator: Your next question comes from Brad Burke from Goldman Sachs. Your line is now open.
Brad Burke : Thank you. Good morning everyone. Congratulations on the quarter. Christie, I know you touched on this, but looking at your EBITDA margins up 200 basis points over last year, which is pretty dramatic, was there anything unusual that caused such strong growth in margins this quarter, beyond better growth in the higher margin businesses? And as we're looking forward, is this a level we ought to be thinking about JLL hitting going forward?
Christie Kelly: Yes, thanks, Brad. First of all, nothing unusual. I think it really speaks to the strength of our portfolio. And when we first met, we talked about we would need points in the cycle to drive our margins to this point, with leasing working on all cylinders, capital markets, and LaSalle Investment Management playing, together with all good things happening in the real estate space, which we've discussed and you can see on our guide posts that are posted on our website. But in terms of breaking it down, I mean, let's talk about adjusted operating income margins. We delivered 10.9% and consolidated operating margins. That's up from 9.7% on a consolidated basis last year. One of the things that the team should note on the phone is that, we look at our performance normalized for incentive fees. And so when you take a look at that 120 basis points improvement in operating margin, 60 basis points of that was driven by the outsizing of incentive fees. And let's drop it down to adjusted EBITDA margin. We delivered 13.8% adjusted EBITDA margin for the year. That's off of 12.4% for last year. So 150 basis points improvement on an adjusted EBITDA basis. And again, if you normalize for incentive fees and equity earnings, we will look at our EBITDA margins at 13%. So up 60 basis points on a normalized basis from last year. Again, strong performance. Nothing out of the ordinary. The team is working hard to drive profitable revenue growth, and make sure we're doing that productively.
Brad Burke : Okay. That's helpful. And then, Colin, a bigger picture question, but as we're looking at what appears to be an increased emphasis on consolidation within the industry, can you comment on how you expect that to impact the business, and specifically whether you would expect to see more robust competition for some of those global outsourcing contracts going forward?
Colin Dyer: I think there are 2 questions buried in there, Brad. One is consolidation. I guess by that you mean the sort of tendency for smaller companies to join bigger platforms, or medium-sized companies to join bigger platforms. That's ongoing. You've seen our rate of acquisition move up to 10 in the course of the last year. They're small, medium-sized acquisitions but they all add capability and/or geographic footprint to our business. That's ongoing. As far as we can see, it will go on through the good and less good parts of the cycle, and Christie mentioned that we're keeping the balance sheet healthy, in a position such that we can continue to perform that work. To the second implicit part of your question around the corporate outsourcing business, I think for the larger accounts and the larger pieces of business, the field of competitors, particularly the global area where you've got multi-regional contracts and even international contracts, they're a comparatively small number of players in the market. And that group has not changed up or down markedly over the last year or 2. As far as competition goes for big corporate outsourcing contracts, or corporate work in general, I mean, we have around about a 2/3s success rate in our bidding process. We would aim to maintain that. The business is still growing at 15% again this year. 2014, rather, we would expect similar growth rates. The pipeline is good. And they're competing well and earning good business and earning good margins off of that business. So the picture there has not changed a great deal. I wouldn't say it's got more or less competitive.
Brad Burke : Okay. So as you're looking forward over the next 2 to 3 years, we shouldn't think about the number of competitors that can offer large global outsource contracts being significantly larger than it is right now?
Colin Dyer: No, I don't think so. It takes a lot of work to build a platform to be able to perform for the large corporations. I mean, they're by definition demanding clients. They expect top quality service. And certainly when they're looking across regions, they're looking for a uniformity of performance from their providers. So putting together a platform that can provide multiple services to demanding clients across geographies is not done in a day. And it took us and a few competitors we have in that sector of the market a decade or 2 to put these capabilities together. So it's pretty tough to replicate. And it's tough to replicate organically. It's tough to replicate by assembling bits of business. Because again you don't get the uniformity of performance by just assembling individual separate geographical entities.
Brad Burke : Okay. I appreciate that. And then just a last one for LaSalle, of the $9 billion of capital that you have raised over the past year, how much of that should we think about as having been already deployed, and how much of that should we think of being committed but not yet invested, just as I try to think about the trajectory of AUM?
Colin Dyer: There's an awful lot of it not invested yet. I think if you go back over the last 2 years we've raised somewhere around $15 billion for LaSalle, and I think that if our revenues is close then their current buying power when you add in debt to that is well over $10 billion. So there's a lot of runway to go there for investment performance, for investment by LaSalle. You'll also see that they're overselling at the same time, which is why those incentive fees are coming through. So from that perspective, it's a very active and healthy point of the cycle. They can sell and yield assets for clients at good incremental returns over the historic purchase price. But they're also able to transact on the buy side given the capital that they have available, and the reflection of that, the fact that their investors are keen that their capital be put to work. So it's a very active phase for them. And we say we have strong and positive expectations for their performance for the coming years.
Brad Burke : All right. Thank you.
Operator: Your next question comes from Brandon Dobell from William Blair. Your line is now open.
Brandon Dobell : Thanks. Christie, in reference to your head count comments earlier, I would imagine those are net numbers as opposed to gross numbers, but I want to confirm how you positioned that, and also what you think about the productivity of people in leasing and capital markets. Have we moved kind of past the low-hanging fruit, if you want to call it that to productivity gains are going to be a little bit tough? Or do you still that you have got the cadence of productivity gains is still pretty solid in 2015 and 2016?
Christie Kelly: I think first of all, Brandon, in terms of the head count, that's a net number. And in terms of the way we think about that, I think that, again it's a very solid investment, in our business, in our people. And these are folks that work side-by-side, they've known each other for many, many years, and we really focus on the collaborative nature and the ability to work together to really drive that performance. And we've done that very effectively year in and year out over many, many years. And our team is continuing to do that now, augmented with better technology, such that folks can plug in and work, more productively. As it relates to productivity, our team's really innovative. Everybody's very focused on coming up with new ideas, and also just doing some real fundamental things in terms of, driving best work practices. So I think that while we have had great results, we still have a lot of room on the 100 projects that I mentioned, the benefits that we have been getting, we're probably only at a point where we can quantify those benefits on 60% of the projects. 40% of the projects are very promising, and yet to get into a point where we've got, a good baseline. So we've got a long trajectory of productivity. And it's something that's in our DNA so, we're going to be working it day in and day out in the years to come.
Brandon Dobell : Okay, I want to hit on the FX just for a second, to make sure I get what you're talking about here. The $0.20-ish of impact in 2015, I want to make sure your comments about loading meaning that the FX impacts seems like it would be most concentrated in capital markets which is a fourth quarter-heavy business, and therefore we wouldn't see much more than $0.20, $0.25 in the first 3 quarters of the year because of the seasonality of capital markets. Is that what your loading comment meant?
Christie Kelly: Yes. The last part of your comment is correct, Brandon, in terms of the loading. But I just want to note that my $0.22 was in reference to the fourth quarter performance.
Brandon Dobell : Got it. Okay. That makes sense. And then, Colin, if you think about the property and facilities growth management growth opportunity, how much same customer growth did you guys see in 2014, or how should we think about that on a kind of a couple year basis? I guess what I'm getting at, how much incremental growth comes from going out and getting new customers, as opposed to adding in service lines and capabilities, or perhaps it's just more square footage to customers you had last year?
Colin Dyer: I can't disaggregate that for you, unfortunately. We don't have that number. But I mean, anecdotally, when we get clients and we do good work for them, the trajectory of activity generally is we just increase the percentage of their facilities or portfolio that we are managing and/or leasing. So once we have a client, the general tendency is that we grow them. We have a very high renewal, so that's in the corporate and investor area. Specifically in the corporate area, we have a very high renewal rate for our facility management work. It's well over 90%. So another kind of indicator of the way in which once we have a client we keep them. And again we'll grow normally. Once we start with a client, we'll grow activity across the portfolio. And then I mentioned in the prepared remarks, we have 22 new contracts with corporate clients this year, and we have a large corporate expansion in the medium-sized corporate space as well. Again, that is a phenomenal picture which we're seeing across all 3 large geographical regions.
Christie Kelly: I think the only thing that I would add to that, Brandon, in terms of same client wins, et cetera, if you take a look at how our business really has unfolded over the past couple of years in terms of assignments, it's 60% growth on what we would call same clients in terms of expansions and renewals. and 40% on new wins, that the team just does a stellar job at.
Brandon Dobell : Okay. And then final one from me. In a situation where you have led with a property or facilities, just pure property facilities management arrangement with an occupier outsourcer, and then perhaps in year 2 of the contract, the leasing mandate or perhaps the transaction mandate comes along with that relationship, did you guys treat the commission flow-throughs to your producers any differently, i.e, they are getting opportunities for activities that haven't come with a whole lot of marketing effort on their part, or perhaps they have. Just trying to figure out that commission structure, or any changes relative to kind of a standalone leasing mandate that might show up as a win for you?
Colin Dyer: Okay, if you go from a facility management which has one fee structure, to a leasing or an investment sales structure, that's your question?
Brandon Dobell : Right. Right.
Colin Dyer: So the fee structure on the property management will accrue to the section of our business which handles property management. If out of that there is a transaction, basically the fee for that transaction will go to the people who execute the transaction. But they will recognize the contribution of the property management colleagues by sharing their fee in some way. That's generally what happens.
Brandon Dobell : Okay. Great. Thanks a lot. Appreciate it.
Operator: Your next question comes from Michael Mueller from JPMorgan. Your line is open.
Michael Mueller : Thanks. Hi. When you look at the capital being raised in investment management, is it fairly broad-based in terms of the products and the regions that it's been earmarked for at this point?
A - Colin Dyer: What we've seen as the cycle progressed, obviously during 2010 and 2011 and into 2012, there was very little capital coming to the bulk of the players or the competitors in the investment management space. And we would include ourselves within that. But as 2013 and 2014 have progressed we've seen increasingly large sums coming into the market. The early part of the cycle, the sums that were flowing in were largely from individual clients who wanted tailored mandates at pretty low fee rates. So we saw ourselves running off some relatively rich funds which had been put together in the last decade and the last cycle. As we liquidated those, they were being replaced by lower margin business from individual clients, be they insurance companies, pension companies, or sovereign wealth funds. As we've gone through 2013 and 2014, that trend has continued. So we're still getting individual mandates as we had earlier in the cycle, but we've seen an increasing tendency or willingness for our clients to invest in funds. So we have been actively closing over the last 12 to 15 months, funds in Canada, opportunistic funds in the US, and importantly too across Asia-Pacific, where we have raised several hundred million dollars in equity. And that has now got our Asia-Pacific platform up and running, again in a very healthy way. We've continued to see funds flowing into our Japanese distribution, construction, development business all through that period. So I guess the short summary of that is that the money has tended to move away from single mandates towards a mix of single mandates and funds. And that will have a healthy impact on our margins as we move through the cycle. And then underlying that, we have continued to take in several billion dollars a year into our securities business, which is investing in global REITs around the world. That obviously can be faster and out money, but it's generally been in an inward direction over the last 2 years. So it's a healthy mix across the investment products which we have, and it's been a healthy mix across the geographies.
Q - Michael Mueller : Got it. Okay. That was it. Thank you.
Colin Dyer: Great.
Christie Kelly: Thank you.
Operator: We have time for one final question from Todd Lukasik from Morningstar, your line is now open.
Q – Todd Lukasik : Hi. Good morning. Thanks for taking my question. I was wondering if you had a dollar range for CapEx for 2015 first? And my second question is with regard to the tax rate. For 2014, I guess it was lower than I would have expected on a kind of a normalized basis. So I was wondering if anything has changed from your perspective with regard to tax rates longer term, or what you think a good number for us to use in the models would be?
Christie Kelly: So I think, first of all, Todd, in terms of the CapEx range, you could figure that around $130 million, as we look forward. And then from a tax rate perspective, nothing unusual on tax rate. We pride ourselves on conservative tax rate planning without pushing the edges on everything, or anything. And from the historical perspective, our effective tax rate is in line with history, and all of the hard work that the team has done.
Q – Todd Lukasik : Okay be, great. Nice job on the quarter.
Christie Kelly: Thank you, Todd.
Operator: If there are no further questions, I'll turn the call back over to the presenters.
Colin Dyer: Thank you, Operator. Well, with no further questions, I would like to thank everyone for joining us, and for your continued interest in our Company. And we very much look forward to talking to you again at the end of the first quarter. Have a good day everyone.
Christie Kelly: Bye everyone.
Operator: This concludes today's conference call. You may now disconnect.